Ljiljana Cortan: Great. So enough with the small talk, let's get to the first challenging question that is actually personally important to me. So agree to disagree? ING's 2025 target of at least 30% of senior management positions filled by women is not ambitious enough. 
Steven van Rijswijk: I disagree. I mean, in ING, we strongly believe that more diverse, more inclusive teams are more adaptable. They're more creative and the more innovative. And those are all key traits for both our culture and our strategy. Now I also realized that gender diversity is just one part of diversity and inclusion, but that's what we currently focus on. 
 And in the end, what is really important is that we make sure that we have complete overview of the total talent pool for a role so that everybody has a fair chance. So the first step is now that we get to the 30%. And we said about 2025, I hope sooner. But in any case, once we get there, we also look at the next steps to take. 
Ljiljana Cortan: Sustainability is at the heart of our strategy. So agree or disagree? We're willing to make a sacrifice of part of our revenue to make our climate targets. 
Steven van Rijswijk: I agree. A couple of months ago, we decided not to finance new oil and gas fields nor increasing the financing of renewable energy. And I have to say one thing with it. So we will always start with inclusion. That means we will always start talking and discussing with our clients to help them to transition. And we want to play our part. And that sometimes means that we take short-term pain to get to a longer-term gain. So it also gives us a lot of opportunities. And it means that we look at opportunities to help companies transition both in terms of new sources of energy or new technologies like green hydrogen. And green is also important to attract the next generation of talent that's important for ING in the future. 
Ljiljana Cortan: Agree or disagree? Our quarterly results are strong, full stop. 
Steven van Rijswijk: Yes, full stop. Also in light of, let's say, the challenging macroeconomic circumstances and the geopolitical uncertainties. 
Ljiljana Cortan: Give me 3 strong points quickly. 
Steven van Rijswijk: Growth in primary customers. We had growth of more than 220,000 new primary customers this quarter. Strong growth both in lending and in deposits that proves the strength of our universal banking model and decent risk costs also in light of the challenging economic circumstances. 
Ljiljana Cortan: Agree or disagree? A superior customer experience I mean for me, that's a 5-star hotel or a luxury spa, not a bank. 
Steven van Rijswijk: That could be the case for you. But I disagree. Clearly, a number of the simple banking products are quite generic. And that's exactly the reason why we can make a difference in the experience and that experience that needs to be super relevant, instant, personal and easy, what we also see with some examples that we have in this quarter. 
Ljiljana Cortan: You make me curious now. 
Steven van Rijswijk: You mean examples this quarter? 
Ljiljana Cortan: Yes. 
Steven van Rijswijk: Yes. So I think in Romania, we were the first bank to offer the first part of the mortgage process fully digital. In Germany, we launched FlexCredit. And FlexCredit is a flexible, as the name says, digital proposition for revolving credit for our business customers who operate on the Amazon marketplace in Germany. 
Ljiljana Cortan: Agree disagree? In my dreams, I'm haunted by the inflation monster. 
Steven van Rijswijk: Well, I sleep quite deeply. So it's probably not a haunting during my dreams. But on a more serious note, inflation and the hyperinflation environment is clear issue. And not only the inflation as such, but also the reasons that actually drives that inflation up that includes, of course, the geopolitical tensions in the world, the challenges with the supply chains, the energy prices that is the shortage of personnel. And it probably also means that although we started the year with us optimism on the economy, but we now need to be prepared for the possibility that we get into a global recession environment. 
Ljiljana Cortan: Gosh, that's a gloomy forecast. Is there anything optimistic about it? 
Steven van Rijswijk: Well, I think what is really optimistic is the belief that I have, and I think all of us should have in ING, in our strategy, in our businesses and in our people, and we've shown it again in the second quarter. 
Ljiljana Cortan: Thank you very much. I wish you a very safe and also relaxing holiday. 
Steven van Rijswijk: Thanks very much. And it was really nice talking to you. 
Bruce Hamilton: Likewise. 
Steven van Rijswijk: Cheers.